Jean-Marie Tritant: Good morning, and welcome to Unibail-Rodamco-Westfield's Full Year Results Presentation. 2024 was a year of strong operating performance across all activities. Our shopping centers delivered increased footfall and higher tenant sales. Group occupancy is now at its highest level since 2017, thanks to strong leasing activity with a focus on high-value long-term deals. Convention & Exhibition delivered record results as our Viparis venues hosted events and operational hubs for the Paris Olympic and Paralympic Games. Offices' NRI grew by double digits thanks to the full leasing of the Trinity Tower and the successful delivery of Lightwell, both in Paris La Défense. And at Westfield Rise, our retail media agency, we achieved the 2024 net margin target of €75 million set in 2022. Since the start of 2024, we have successfully completed or secured €1.6 billion of disposals at book value, delivering on the discussions that we referenced at the half year. And we have been active on the investment front, acquiring €0.6 billion of JV partners' stakes at attractive terms. We also faced the challenges related to our Westfield Hamburg-Überseequartier project and I am pleased to say it will open on April 8. I will provide an update on this later in this presentation. As a result of this strong performance, we achieved full year earnings above guidance and are proposing a 40% increase in our cash distribution to €3.50 per share. This strong performance is reflected in our financial KPIs. Group like-for-like NRI is up 6.7% year-on-year, demonstrating our excellent operations. Our cost of debt remains low at 2%, thanks to our hedging program and access to financing at attractive conditions. Our loan-to-value ratio benefited from our active deleveraging program and is at its lowest level since 2019, with another 100 basis point reduction in 2024. As a result, our net debt-to-EBITDA ratio stands at 8.7x, down from 9.3x at the end of 2023. Now let's take a closer look at the excellent operational performance of our shopping centers. Over the past 4 years, we have been proactive in our leasing strategy, upgrading our retail offer and upsizing our key retailers. This curated offer continued to drive footfall in 2024 which was up 2.6% from 2023, well ahead of the market. This has resulted in tenant sales growing by 4.5%, ahead of blended national sales indices and outperforming core inflation. In 2024, the strong appeal of our assets resulted in a high volume of GLA and MGR signed and also achieved a very healthy MGR uplift of 6.5% on top of indexation. For long-term deals, which represented 80% of our total leasing activity, we achieved an impressive uplift of 11.1%. Going forward, our continued sales performance, the appeal of our assets and the commercial tension we have created will allow us to capture additional reversionary potential. Moving now to Westfield Rise. Our work to consistently enhance the quality of our assets and create an exceptional customer journey, attracts a massive and highly engaged audience that we are monetizing through our retail media agency. And I'm happy to say that we have achieved the €75 million net margin target set in 2022, delivering a 41% increase in Europe versus last year. This includes an 8% uptick in physical brand activations, which drive revenue and contribute to the dynamic customer experience at our centers. When we launched the agency first for our industry, we highlighted the significant potential to increase average revenue per visit in line with players such as arenas and transportation networks. This figure is up 38% year-on-year and has more than doubled since 2021. We see continued significant growth potential and we'll share more details on our plans for Westfield Rise at our upcoming Investor Day. The retail real estate investment market continued to be challenging in 2024, with volumes down 12% in Continental Europe and 13% in the U.S. from what was already low activity in 2023. Against this backdrop, URW completed or secured an impressive €1.6 billion of disposals at book value. This was made up of noncore retail assets, minority stakes in 2 flagship centers and 2 office deals. These transactions, mostly delivered in the second half of the year, demonstrate the group's focus and preparation, which enable us to execute at attractive values across asset classes and geographies, even in challenging market conditions. We also apply the same level of discipline and agility to our asset management. In 2024, we have invested €0.6 billion of stakes from JV partners. In each case, we have done this at attractive terms. At Westfield Montgomery in Maryland and Centrum Ursynów in Warsaw. We acquired the full ownership of both assets from our JV partners as we see clear opportunities to increase revenues and create additional value through mixed-use densification and retail extensions. In December, we acquired an additional 29% of our URW Germany joint venture, which was executed in URW shares and takes our total ownership to almost 90%. This deal improved our pro forma loan to value, increased our cash position and will allow us to accelerate the transformation of our portfolio in Germany. Going forward, we will continue to make similar investments where we see significant potential for value creation. Before I tackle Westfield Hamburg, let me update you on our 2024 pipeline deliveries. This includes: our 29,000 square meter redevelopment of Westfield CNIT in Paris La Défense that was 97% let at opening and has already seen a 29% increase in footfall; the successful conversion of a former department store box at Westfield Old Orchard in Chicago that is 95% let, including a flagship Zara store; and the delivery of Lightwell, our office redevelopment project in Paris La Défense, which is 80% let, with active discussions on the remaining space. These deliveries have achieved a 6% blended yield on cost for a blended appraisers' exit cap rate just over 5%. Our number 1 priority is the delivery of Westfield Hamburg-Überseequartier. As I have said previously, the project delays and cost overruns are totally unacceptable. We have now completed the independent investigation we launched in July, which covered a root cause analysis to identify the main drivers of the overruns and the systematic review of project processes, governance and decision-making. The findings presented to the Supervisory Board confirm what we shared with you at that time. At inception, the project and corporate development teams failed to fully understand its complexity. This led to incorrect and inadequate assumptions in terms of budget, timeline and project setup. This resulted in the serious project mismanagement already reported, particularly in relation to insufficient design detail and construction strategy. On top of this, the investigation noted the significant impact to cost, procurement and labor of the COVID-19 pandemic and the Ukraine war. The investigation also highlighted poor risk assessment throughout the project's lifespan and the lack of independent scrutiny. It did not uncover any evidence of fraudulent activity. The mistakes we made on this project cannot be repeated. In addition to the changes we already announced in executive leadership, oversight and construction management, we have conducted a thorough systematic review of all active projects. I can confirm that the issues faced are contained to this project. We have also taken significant steps to reshape our approach to development at the project and group level. We have reviewed and strengthened development oversight and increased the feasibility, technical and risk assessment requirements from the earlier stages of the Investment Committee approval process through to completion. We have reinforced project monitoring at corporate level with clear segregation of duties and increased financial controls that also now leverage more comprehensive technical KPIs. We are revising the company's internal charters to reinforce Management Board and Supervisory Board oversight. And finally, the group will not take direct construction risk for development projects and major works going forward. Looking towards delivery. We have made significant commissioning progress with the support of local authorities and are very excited for the retail opening of the project on April 8. The total investment cost now stands at €2.45 billion, an increase of €190 million, mainly due to additional construction costs and contingencies. On April 8, we will bring to Hamburg a destination unlike anything the city has seen before. Our retailers are committed to Westfield Hamburg-Überseequartier and share our ambition for its future. The project's residential buildings are open with occupants currently moving in and we have completed delivery of the cruise terminal to Hamburg Port already. Offices are 64% prelet with active discussions on a large portion of the remaining GLA, with the first handover in Q2 2025 to Shell Germany and the project's hotels will also begin handover in Q2. This slide shows how since 2021, URW has successfully navigated and overcome multiple challenges related to its operations, balance sheet and U.S. exposure. At the end of 2020, COVID's impact to occupancy, rents and asset values seems to have answered long-asked questions about the long-term visibility of retail real estate and the future of physical retail. These pressures, combined with our high level of debt, increased concerns about our balance sheet. Today, URW stands in a position of strength. Our operating performance has demonstrated the power and appeal of our assets, with physical retail thriving in flagship destinations, growing traffic and sales and positive rent evolution. This has contributed to the stabilization of valuations seen in 2024. Throughout this challenging period, we have successfully maintained access to bond and credit markets at competitive conditions, ensuring URW's financial flexibility. Through the disposal of more than €6 billion in assets despite market conditions, we have successfully reduced our loan-to-value ratio by 400 basis points, reshaped our portfolio and significantly strengthened our balance sheet. When it comes to the U.S., we have divested 17 noncore assets for USD 3.3 billion at 100%, at a time when the market was virtually closed. These deals represent over 1/4 of what enclosed mall transactions in the U.S. over that time. Now, 12 out of our 15 U.S. shopping centers are A rated, which represents 97% of our U.S. GMV and unmatched collection of flagship destinations in some of the best markets in the country. We have also delivered strong operating performance with occupancy at record levels, along with higher footfall sales and rents. And we have completely restructured our management platform in the country, cutting costs by over 50%. Over the past 4 years, we have reshaped our portfolio through disposals, made significant deleveraging progress, enhanced our operations and transformed the group's risk profile. Having achieved this transformation, we have taken the strategic decision to retain our high-performing U.S. flagship assets, which will deliver further growth and value creation. Our deleveraging is not yet complete. We have made significant progress and are on a strong trajectory. We will continue to execute through retained earnings, disciplined capital allocation and noncore disposals. Now on to our Better Places sustainability plan. Thanks to our continued progress in 2024, we have achieved a 42% reduction in carbon emissions from Scopes 1, 2 and 3 and a 37% reduction in our energy intensity. We have exceeded our initial 2024 target for the launch of our Better Places certification, with 14 assets certified in Europe versus 10 planned. And we have expanded the Sustainable Retail Index to include the health and beauty category, achieving our 2024 target of 70% coverage of eligible revenues in Europe. I am pleased to announce as well that we have extended the SRI to the U.S., and globally, 86% of our covered MGR is already engaged in sustainability initiatives, with almost 53% being active, advanced or leader. We are also engaging with all our landlords to promote the adoption of the SRI as an industry standard. URW is increasingly recognized for its ESG leadership. Last week, we were named in the CDP A list for the seventh year in a row and Corporate Knights, a leading sustainability research organization, announced during Davos that we moved from the 70th position to the 24th position in their Global 100 ranking. Now let me hand it over to Fabrice to go into more detail on our strong financial performance before coming back to provide information on our proposed distribution and 2025 guidance.
Fabrice Mouchel: Thank you, Jean-Marie, and good morning, everyone. In 2024, we once again saw a strong operating dynamic. Tenant sales increased plus 4.5% compared to 2023, supported by a footfall increase of plus 2.6%. Leasing activity remained strong, up 4.8% in volume, and as Jean-Marie has already said, vacancy fell to the lowest level since 2017 before the acquisition of Westfield. And we saw a 14% increase in commercial partnership revenue, driven by the continued success of Westfield Rise in Europe. 2024 was also a very successful year for our Convention & Exhibition business, which benefited from the Paris Olympics and Paralympics. Lastly, we completed or secured disposals for a total net debt reduction of €1.6 billion, contributing to an improvement in our financial ratios. Recurring EPS reached €10.56 per share, up 4.1% compared to 2023. Adjusted recurring earnings, which includes the impact of hybrid bonds, totaled €9.85 per share, a 2.4% increase on 2023. This is slightly above the guidance we provided a year ago, thanks to a strong operating performance, better-than-anticipated cost of debt and the timing of 2024 disposals, which more than offset the NRI effect of the delayed opening of Westfield Hamburg. We saw strong EBITDA growth of plus 6.9% in total and 7% on a like-for-like basis, and this is an acceleration compared to the 5.8% growth achieved in H1. The increase in AREPS was mainly driven by shopping centers and offices' NOI performance, which contributed €0.86 to AREPS growth in 2024. C&E contributed €0.31 at group share, benefiting from strong commercial activity, favorable seasonality and, of course, the Paris Olympics. This was partly offset by the fuller impact of increased hybrid costs accounting for minus €0.19 following the exchange offer completed in June 2023. Disposals completed in 2023 and 2024 had a minus €0.47 impact on NRI. This corresponds to €2 billion of sales completed in 2023 and 2024, although the impact of 2024 disposals on this year's AREPS was limited as they were mainly completed in H2. Financial and general expenses had a minus €0.07 contribution due to a slightly higher cost of debt partly offset by a decrease in general expenses. Looking now more closely at URW's retail NRI performance. On a like-for-like basis, retail NRI increased by 5.8% year-on-year, including plus 2.1% from indexation at group level and plus 3% in Continental Europe. The contribution from rent was plus 2.4%, driven by our strong operating performance, the rental uplift in 2023 and 2024 as well as a reduction in vacancy, most significantly in the U.K. and in the U.S. We also had a positive contribution of just under 1% from variable income presented in the other category, driven by Westfield Rise revenues in Europe. This other category also includes lower service charges in the U.K. We benefited from a positive doubtful debtors' contribution of plus 0.7%, thanks to higher collection rates and lower bankruptcies, which I will cover on the next slide. Sales base rents were down slightly at group level, and this was mainly due to the crystallization of SBR into minimum guaranteed rents in the U.S. and the comparative effect of higher SBR settlements in 2023 from 2022 sales. This was partly compensated by SBR in Continental Europe, which were up, thanks to strong sales performance. Bankruptcies decreased in 2024 with 246 units affected, representing 2.5% of the group's retail units. This compares to 355 units affected, representing 3.5% in 2023 and 448 units, representing 3.3% in 2019. This improvement reflects the strong sales performance in our centers as well as the overall improvement in the tenant credit quality following the departure of weaker tenants during COVID. For 69% of units affected by bankruptcies, the tenant was either replaced or was still in place, limiting the impact on the group vacancy. In parallel, rent collection for retail in 2024 stood at 97%, in line with pre-COVID levels, while we continue to collect 2023 ramps, meaning that we have now reached 98% for last year. Moving to now vacancy at the group and regional level. Group vacancy as of December 2024 stood at 4.8%, down from 5.4% at full year 2023 and 5.5% at the end of H1 2024. This is the lowest vacancy level since 2017. In Continental Europe, overall vacancy was 3.2%, unchanged from 2023. Vacancy in the U.K. is down from 6.9% at year-end 2023 to 5.8% today. The vacancy rate has continued to decrease at Westfield Stratford, landing below 3%. Westfield London vacancy is now below 9% and is expected to reduce further, thanks to leasing efforts and repurposing of excess space added by the 2018 extension. The former House of Fraser department store is being currently transformed into offices that will be delivered at year-end, while the former Debenhams site has been converted into new retail units that are now 70% leased. U.S. flagship vacancy stood at 6.2%, down from 7.3% in 2023 and below pre-COVID levels of 7.7% and its 2020 peak of 12.5%, showing the recovery in the U.S. and the appeal of our prime assets for retailers. Moving now to leasing. We signed MGR of €465 million in 2024, up 4.8% compared to 2023 and plus 6.4% for long-term deals. There was a further acceleration in the pace of leasing in H2 with €247 million of MGR signed at plus 7.8% increase on the second half of 2023. The proportion of long-term leases continued to increase, reaching 80% in full year 2024. MGR signed in Continental Europe was up 14.7%, showing a positive dynamic as retailers focus on prime locations and our assets continue to gain market share. In the U.S., the overall amount of MGR signed was down as we have lower vacancy to address, and we can shift our focus to higher value-added deals. As an illustration, the average rent per square foot for long-term deals in the U.S. increased by 5.7% compared to 2023. Retailers' appetite is also visible in the rental uplift achieved which continue to be healthy across all geographies at plus 6.5% on top of indexation in 2024. This was over 11% on long-term deals over 36 months. In Continental Europe, the uplift stood at 3.5% on top of indexation with 5.7% on long-term deals. Before indexation, the uplift was at plus 6.1% on all deals and plus 8.3% on long-term deals. In the U.K., the uplift stood at 9% and benefited from the reletting in H1 2024 of units impacted by COVID. The uplift in the U.S. was at 11.7% on all deals and it was 30% on long-term deals when compared with MGR in place and 22% compared to MGR plus SBR. Moving now to our occupancy cost ratio, which stands at 15.4% in Continental Europe. In the U.K., OCR decreased to 16.7%, thanks to lower U.K. business rents since April 2023 as well as an increase in tenant sales and rent adjustments. In the U.S., OCR for flagship assets, excluding department stores, decreased to 12.6% from 12.9% in 2023. And as we have demonstrated previously, the volume of activity generated by omnichannel retailers through in-store initiatives like Click & Collect and product return goes well beyond the sales figure that are used to compute the OCR. The strong performance of our retail assets in 2024 was mirrored by our Offices portfolio with NRI of €102 million, up 22.3% year-on-year. This increase was mainly thanks to the full year impact of the letting of Trinity, the performance of the Pullman Montparnasse Hotel and the successful delivery of Lightwell. This was partly offset by the disposal of the Gateway offices in Paris. On a like-for-like basis, offices NRI was up 14.4% on a group basis, including 18% in France. Following its successful letting, Trinity Tower is now a mature asset, and we have signed an agreement to sell an 80% stake to Norges while continuing to provide asset and property management services. This represents a debt reduction of circa €350 million for 80% of the tower. And this is the largest transaction in the Paris office market over the last 12 months, demonstrating the quality and appeal of our assets. We have also acquired the Jacques Ibert office building in Levallois for €33 million, which represents another retrofit opportunity. Moving now to Convention & Exhibition activity. 2024 net operating income for C&E amounted to €290 million, up 66% compared to 2023 as we benefited from the impact of the Paris Olympics and Paralympics, especially in H2. The Olympics contribution to C&E NOI in 2024 was €54 million at 100%. Restated for the triennial shows and excluding the Olympics impact, like-for-like NOI was still 29.5% above 2023 and 2.4% above 2022. This like-for-like performance reflects the appeal of our venues, which is confirmed by our 2025 prebookings, with 91% of expected rental income signed or prebooked. Our 2024 performance was also supported by a 10% decrease in our general expenses as part of wider cost-savings initiatives launched in 2024. This is on top of the 5% decrease achieved in full year 2023. Compared to 2019, we have reduced our administrative expenses by 26%, even when considering the high inflation experienced over the period. Efficiency gains include headcount reductions supported by optimization in processes and IT tools and we'll maintain this discipline in 2025. In parallel, we also reduced our CapEx on standing assets and other developments by circa €120 million in 2024 compared to 2023 to partly offset the Westfield Hamburg TIC increase. Moving now to our portfolio values, which stands at €49.7 billion, a 0.3% increase compared to last year. CapEx and acquisitions had a positive impact of €1.8 billion, partly offset by disposals with a negative effect of €0.9 billion. There was a positive FX impact of €0.7 billion from the strengthening of both the dollar and the sterling against the euro. Like-for-like portfolio revaluation saw a decrease of €0.2 billion, corresponding to minus 0.5% from Offices and Services, while retail like-for-like revaluation was slightly positive at plus 0.2%. Non like-for-like revaluation was negative €1.3 billion, mainly coming from the Westfield Hamburg revaluation. Net reinstatement value stood at €143.80 per share at the end of 2024, a minus 2% decrease compared to year-end 2023. This evolution is mainly due to the negative non-like-for-like valuation, offset by retained earnings. Net reinstatement value also takes into account the return of shareholder distributions with a €2.50 per share paid in May 2024. As mentioned, like-for-like revaluation for retail was plus 0.2% in 2024, made up of a rental impact of plus 1.4%, partly offset by a yield impact of minus 1.3%. This is an improvement compared to H1 valuations, which were slightly negative at minus 0.3%. In Continental Europe, this is the first full year positive revaluation in 6 years at plus 1.3%. In the U.K., this is the second year in a row with positive revaluation at plus 4.9%, which is an acceleration compared to plus 0.6% last year. The main driver of these positive revaluations was a rental growth generated by a strong operating performance in 2024. The decrease in the U.S. like-for-like revaluation in 2024 was minus 4.3%, split between minus 1.3% rent impact and minus 3.1% yield impact. For flagship assets, excluding CBD, the revaluation was minus 3.4%, mainly due to the yield impact of minus 3.1%. Let's look more closely now at retail like-for-like revaluation in Continental Europe split between yield and rent impact since 2020. Valuations were significantly impacted by a negative yield effect in 2020 from COVID as a result of a high-risk premium and in 2022 and 2023 by the significant and vast rates increase that took place in 2022. In 2024, the yield impact is still negative, but less than in previous years as we start seeing a stabilization in rates. Since 2021, this impact has been partly mitigated by rental growth coming from the COVID recovery, our capacity to pass on indexation and a strong operating performance. Going forward, we expect valuations to be driven by increasing rents as we have seen in the past. The net initial yield of Continental Europe assets stands at 5.4%, stable compared to 2023, even factoring in the slight increase in asset values on a like-for-like basis. The net potential yield, assuming the assets are fully let, is 5.6%. The net initial yield of U.K. assets stands at 6.3% and the net potential yield at 7%. It is flat compared to 2023 despite the increase in like-for-like valuations of UK assets. In the U.S., the net initial yield for flagship assets, excluding CBD, was 5.1%, a 30 basis point increase compared to 2023. This yield is explained by the cash flow growth potential of these assets. The annual growth of NRI assumed by appraisers was at plus 4.2% per year over 10 years, including circa 3% coming from the contractual rent and CAM escalation. The net stabilized yield for U.S. flagship assets after 3 years stands at 5.7% as it captures the growth potential embedded in these assets. Now on to development. The total investment cost of the group's pipeline increased to €3.5 billion, mainly as a result of the €0.8 billion increase in the TIC of Westfield Hamburg and €0.5 billion of new projects. As mentioned by Jean-Marie, the retail component of Westfield Hamburg will open on the 8th of April with preletting at 94%. We also added 7 new projects for a total investment cost of €0.5 billion and a targeted yield on cost above 7%. 4 projects representing a total TIC of €0.3 billion were delivered in 2024 and these assets are 88% let to date. After €2.6 billion of deliveries during 2025, URW's development pipeline is expected to reduce to €0.9 billion by the end of 2025, comprising of €0.4 billion of committed projects and €0.5 billion of control projects. Moving on to the evolution of net debt and financial results, which reflects our significant deleveraging progress and operational improvement over the last 4 years. Since 2020, IFRS net debt has decreased by €4.2 billion to €20 billion. Pro forma for disposals secured in 2024, it stands at €19.5 billion, down €0.5 billion compared to last year. IFRS LTV ratio stands at 40.8% on a pro forma basis, marking an improvement of 1 percentage point on last year. This has been achieved thanks to the disposals secured, the stabilization of our European retail values in 2024, partly offset by the impact of CapEx spend as well as the instatement of a distribution. Overall, our LTV decreased by 400 basis points since 2020, reaching its lowest level since COVID despite a 12% decline in values over the period. The balance sheet was also reinforced in 2024 by the issuance of €3.25 million URW shares in exchange for an additional 39% stake in URW Germany. This resulted in an improvement of the EPRA LTV from 54.4% to 53.8% between '23 and '24 and to 53.1% pro forma for disposals secured, representing a 130 basis point improvement compared to last year. Moving now to net debt-to-EBITDA ratio. It sat at 8.7x on an IFRS basis in 2024 compared to 9.3x in 2023 and 9.9x in 2019. This improvement is due to the net debt reduction achieved and strong operating performance with a like-for-like EBITDA up 7% in 2024 compared to 2023. This is the lowest net debt-to-EBITDA ratio since the Westfield acquisition, demonstrating the group's deleveraging achievements to date. Interest coverage ratio, excluding hybrids, was stable at 4.2x on an IFRS basis. Talking now about our cost of debt, which stood at 2% in 2024, a slight increase compared to last year, which was 1.8%. This increase is due to the higher cost of new financing raised in 2023 and 2024 and a lower remuneration on the group's cash position following the decrease in short-term rates of more than 100 basis points in 2024. The group has significant hedging instruments in place covering its anticipated debt in 2025 and 2026. The cost of debt in 2025 will benefit from these hedges, but is expected to increase slightly as a result of lower cash generation with a further reduction in short-term rates anticipated in 2025. In total, the group has €13.9 billion in cash and available credit facilities. This includes €5.3 billion of cash on hand. In 2024, the group raised €4.7 billion of new debt, out of which 89% was sustainable or green financing. This includes €1.3 billion of green bonds at an average 3.7% coupon, a 45 basis point improvement compared to last year's bond issuance. It was 4x oversubscribed, demonstrating investors' appetite for URW credit. The group's average debt maturity stands at 7.3 years at the end of December. And thanks to this liquidity, we have the resources to cover all debt maturities for at least the next 3 years, even in a scenario where we raise no new financing and make no further disposals. And thanks to this strong liquidity, together with our strong operating performance and significant disposal progress, rating agencies confirmed the group's rating in H2 2024. Building on the balance sheet improvement achieved to date, we intend to continue deleveraging through retained profit, disciplined capital allocation and noncore disposals. On this slide, we have provided an illustration of our deleveraging path over the 2025, 2026 period. This takes into consideration: assumptions over the next 2 years of recurring profit based on 2025 guidance; a distribution of €3.50 per share in '25 and '26; reduced CapEx needs beyond the delivery of Westfield Hamburg; and disposals in line with our historical achievements at an average of €1 billion per year. IFRS LTV, excluding hybrid, will track well below 40% by 2026. We are also showing a sensitivity analysis of our LTV based on different valuation assumptions. As mentioned earlier, after 6 years of decrease, values for prime retail assets in Europe started to increase in 2024. If our European retail assets were to be revalued based on the estimated cash flow growth over the next 2 years, everything else being equal, this would equate to a GMV increase of around 4%. Such an increase over this 2-year time horizon would take down our IFRS LTV, including hybrids, from 42% to circa 40%. Our operational performance and strong liquidity position give us time to continue our gradual deleveraging in an orderly manner while also increasing our distribution. That is all for me, and now back to Jean-Marie for some closing remarks.
Jean-Marie Tritant: Thank you, Fabrice. Before we start the Q&A, let me take you through our proposed cash distribution and our guidance for 2025. With our strong 2024 results, we are proposing a cash distribution of €3.50 for approval at the AGM. This represents a 40% increase compared to last year and reflects our intention to increase the distribution according to operating performance, deleveraging progress and the evolution of asset valuations. Moving now to our guidance. The group expects an underlying growth of at least 5% to drive our full year 2025 adjusted recurring earnings per share in the range of €9.30 to €9.50. This growth is supported by: stronger retail operating performance, both in Europe and the U.S.; increased variable income, including Westfield Rise; our continued focus on cost discipline; and the positive impact of 2024 and 2025 deliveries. Our guidance also reflects: disposals, those completed in 2024; €0.6 billion already secured for 2025; one deal signed under conditions precedent for €0.3 billion; and active discussions on additional disposals. There is also a slight increase of the cost of debt. And our guidance takes into account the one-off impact of the Olympics on Convention & Exhibition and the 3.2 million URW stapled shares issued in December 2024 for the acquisition of the URW Germany JV. As in previous years, this guidance assumes no major deterioration of the macroeconomic and geopolitical environment. Before we start the Q&A, I'm pleased to confirm the date of our upcoming Investor Day, which will be held here in Paris on May 14, with a range of project visits also scheduled on the morning of the 15th. We look forward to sharing with you our strategy and growth plans. Now Fabrice and I will be able to take your questions. Thank you.
Operator: [Operator Instructions] The first question is from Florent Laroche-Joubert of ODDO BHF.
Florent Laroche-Joubert: Maybe for my first question, I will go back to Slide 36, where you present your illustrative deleveraging trajectory for 2025, 2026. As part of the distribution, you have taken the assumption of a distribution of €3.50 per share for the year to come. So do we have to take this assumption as maybe an outlook? Or do we have to wait for further increase of the distribution and in which assumptions? And maybe my second question would be on the U.S. portfolio. So shall we expect that your targeted portfolio will be composed of the 12 assets A rated?
Fabrice Mouchel: So maybe starting -- thanks, Florent. So to start with your first question on the dividend. So the chart on Page 36 is just an illustration of the deleveraging path. And by the way, you see a sensitivity analysis of what would be the impact of €0.50 increase in terms of distribution on the LTV evolution, so you have that on Page 36. Now, regarding the dividend going forward. First, as you've seen, we have increased it by 40% in 2024 compared to 2023. So this is in line with the announcement that we had made of a significant increase. And going forward, we intend to continue to increase the distribution and the magnitude of which will depend on 3 factors that I've mentioned: a, the operating performance; b, the deleveraging progress; and three, the valuation evolutions.
Jean-Marie Tritant: When it comes to the U.S. portfolio, we have today 15 assets, out of which 12 are graded A. And somehow, you can expect that our portfolio would be in that range of 12 to 10 assets like that are really, really core to us going forward, but it doesn't mean that we'll go down to 10 in a very short time frame.
Fabrice Mouchel: And just to complete this, my answer, obviously, when it comes to the long-term perspective on the dividend, this will be alluded to and mentioned and tackled during the Investor Day in May of this year.
Operator: The next question is from Veronique Meertens of Kempen.
Veronique Meertens: For me, also two questions. So first of all, looking at the guidance, you also mentioned quite an impact on net financial expenses. Could you maybe elaborate on what's your -- what do you take to account for your net interest income? And also what the impact of capitalized interest is, especially since your development pipeline is drying up quite significantly at the end of the year? And then my second question is, when I look at your like-for-like revaluations, I notice that especially the impact -- the rent impact is relatively low versus the solid results that you print on the rental side. So if you could elaborate why it's a bit lower?
Fabrice Mouchel: So let me start with the first question on the underlying growth of 5%. And so to come back to this question, in fact, in the 5% underlying growth, you have 4 main elements. One is the like-for-like performance that will continue to be sustained in 2025. The second is the impact of the deliveries that will take place in 2025. It's a significant year in terms of deliveries. The third element, which is positive, is a reduction in taxes, which were increased in 2024 due in particular to the services activity, which are taxable activities coming from the Paris Olympics. And to come back to your question, effectively, as part of this 5% underlying growth, there is a negative impact of financial expenses which effectively is made of 2 elements. One is the increase in the average cost of debt. In particular, as you've seen, we have €5 billion of cash remuneration. And so depending on the assumption that you make in terms of remuneration of this cash, this can be a significant amount. So a 1% decrease in the 3 months Euribor would have an impact of €50 million. So I'm not saying that it is what we have, but all in all, you see the magnitude of this dimension when it comes to the financial expenses. So in total, we've seen a gradual increase of financial expenses. It was 1.8% in 2023, 1.9% in H1 2024. It's 2% at the end of 2024. So you might expect a further increase of 20 to 30 basis points for the full year impact. And on top of that, there is effectively the impact of less capitalization of financial expenses. And a way for you to assess that would be the level of CapEx corresponding to the assets that are delivered. So as you've seen on Westfield Hamburg, we are quite transparent in terms of cost spent on this project and you apply the average cost of debt on this type of value of assets -- of CapEx that won't be capitalized anymore. And so you see that you have an impact that can be derived from this computation.
Veronique Meertens : And could you maybe elaborate what is your assumption in terms of cash remuneration, that's included in your guidance then?
Fabrice Mouchel: We have a cash remuneration, which is based on the 3 months Euribor. So basically, you see that the 3-month Euribor is expected to decline. We have a forward, which is something like 2.2%. So I'll let you elaborate on the overall cash remuneration. And in the U.S. it is based on the short-term rates in the U.S., which is somewhat higher than what we have in Europe.
Veronique Meertens : Okay. And my question on the like-for-like revaluations, why the rent impact looks relatively low?
Fabrice Mouchel: I mean when you look at Continental Europe, it was plus 2.4%. So basically, that's still significant growth. It is just made of the differential between what was anticipated by appraisers the year before and this one. So part of the good news were anticipated and part were not anticipated. And this is why you have this increase between 2023 and 2025 in terms of valuation. But overall, I would say, the trend is positive. And let's not forget that this is somewhat slightly impacted by a lower indexation because we benefited still from a 3% indexation in 2024, and we expect this to decrease in 2025 to a lower level of indexation of around 2%.
Operator: The next question is from Valerie Jacob of Bernstein.
Valerie Jacob : My first question is on your credit rating. You've made some good progress on deleveraging as you showed on the slide. And I was wondering, you also have some disposal baked in the guidance. If you could share some thoughts on your discussion with the credit agencies? And if there is any chance of an upgrade later this year or next year, if you continue on this path? And my second question is on the U.S. If you could elaborate on your strategy? I think in the past, you've said that you could be building shares in some assets. Is it still the case? Or do you prefer to focus on some core asset and sell a few noncore assets?
Fabrice Mouchel: So starting with the rating agencies, and it's hard for me to comment on what they expect to do. I think still there's one thing important to mention is that rating agencies expect us to sell around €1 billion of assets per year. So this is what we have achieved in 2024. Technically, we've sold €1 billion. But I think on top of that, the interesting element is that we have already secured €0.6 billion of disposals, so signed in 2024, but not completed in 2024, and that will be completed in 2025. We have signed also another disposal, which is under condition precedent for another €0.3 billion. So here, we have put that in our guidance because if the conditions precedented are met, we are forced to sell this asset, which we'll be happy to, but there's still a level of uncertainty. So that's why we have not included that into the secured assets. But all in all, it's true that when you combine the 2, this has €0.9 billion of impact in terms of disposals, which will have effectively compared to the €1 billion target of rating agencies. A lot will have been secured since the very beginning of the year. So I think it's hard to elaborate on what they will say. Still, there's something to mention is that, as you remember, S&P on the 14th of January, issued a statement or report explaining that these disposals will comfort the rating of the company. And so we'll meet with them in the course of March and see effectively how they take that into consideration and the potential additional disposals that we may complete in the course of 2025, which effectively here, as a consequence, will impact our 2025 guidance, as you've seen through effectively these evolutions and this decrease of the AREPS between 2024 and 2025.
Jean-Marie Tritant: When it comes to the U.S., obviously, during the Investor Day, we'll share way more on the strategy and what is the path forward for the U.S. portfolio that we have decided to keep. We have -- obviously, 97% today of our gross market value in the U.S. is made of A-rated assets. So that is the core of what we own. So we should be able to maybe reshape a little bit that at the edge. We have -- if you look at our controlled pipeline, we integrated a densification project on the Garden State Plaza in New Jersey for the Phase I of the densification project, which is a resi project that we do with a developer and a partner. You may have seen as well that we invested and bought the 50% remaining stake in Montgomery in Maryland where we want to -- where we see value potential for re-tenanting but as well, densification project, which is already under discussion with the local authorities on the zoning. So that's -- the strategy would be on these assets really to get to maximize the value of what we own and extract even more value from the rent tension that we see and that we've been able to recreate over the last 4 years in these core assets. But we'll share way more during the Investor Day around what's the path for growth and development for that portfolio.
Operator: The next question is from Frederic Renard of Kepler.
Frederic Renard: Just coming back on the question of Valerie. So you mentioned that rating agency is taking into account like €1 billion of asset disposal. But I guess it was also mostly linked to the negative portfolio valuation, which actually is not the case anymore. So I guess my question is, what is your view on deleveraging after '25 disposals? Valuations are edging up. You don't have a big pipeline anymore. And operationally, it's going very strong. So isn't this year marking the end of your deleveraging road that you embark when you became CEO in 2022 -- in 2020, sorry, at the end of 2020? And the second question would be, how has your appetite changed regarding large greenfield project going forward?
Jean-Marie Tritant: So we are -- as we said, when you look at where we were in '21 and where we are today with the level of deleveraging that we have achieved, the 400 basis points lower loan-to-value that we achieved, the operational performance of our assets and how we have rebuilt the commercial tension and the visibility it gives us in terms of growth potential, we're focused on really now making sure that we are not distracted by noncore activities and that we really focus on how do we extract the value from what we own. So we are -- according again to the valuation evolution, some of the disposals that we are doing now and the return on earnings and the capital allocation, we'll see what is the right level of additional disposals that we need to do after 2025. One thing is for sure is that we'll continue to work out just making sure that we have fully streamlined our portfolio of assets and activities, such as we are really focused on where the value is and that we can then move the needle in terms of value creation.
Fabrice Mouchel: And when it comes to the level of LTV, there's still some room and some headroom to -- or room to improve the LTV. We've made a significant progress since 2020. And as Jean-Marie has mentioned, we've reduced our LTV by 400 basis points. But when you look still at the IFRS LTV, including hybrid, we stand at 44.7%. And so there's still some room to take it to a level that would be closer to 40%. And as you've seen on the slide on the deleveraging, in a sense, you achieve that over time and over this 2-year time horizon with €1 billion of disposals and potentially a revaluation of the other assets. So basically, this will be the topics that will be discussed with the rating agencies, this €1 billion of disposals impact. We'll continue, as Jean-Marie mentioned, to ensure that we trim and improve our portfolio overall quality by selling noncore assets, which are a distraction. And on top of that, of course, the discussion with the rating agencies will be around our headroom, this headroom that gives us in terms of distribution. Hence, by the way, the fact that we've been able to increase our distribution by 40% this year. And we intend, as I said, to continue increasing this distribution over time.
Operator: Next question is from Paul May of Barclays.
Paul May: Just a couple of questions from me. Just wondering on your leverage side. I think you mainly focus in the report around net debt to EBITDA and obviously, a lot of comments around LTV on the call. Just wonder what do you see as an appropriate level for net debt to EBITDA? Obviously, you're higher than U.S. peers, probably higher than a couple of your European peers as well. I just wondered what the focus is on managing that moving forwards. And then following on from other questions, I suppose the next stage of the evolution is, do you see more opportunities to equity fund acquisitions like you did with CPP IB and the JV in Germany? I mean, are there more JV assets you would like to acquire or assets in the market? Because just looking at the disposals, they seem to have been more punitive to earnings than beneficial for leverage. I just wonder what your focus is there and your thought process. It would be nice to get back to growth rather than facing decline on the earnings side.
Fabrice Mouchel: Maybe I'll start with the net debt over EBITDA. And as you've seen, this is -- I mean, this was a tremendous achievement to be at the lowest level of net debt over EBITDA since the Westfield acquisition at 8.7x. So when you include the hybrid, this takes us to 9.5x. And our target is more 9x, which is the historical level at which we've been for this ratio. Historically, by the way, this 9x was also explained by the fact that we had some development pipeline, which were not generated any income and that, on the contrary, had an impact on the net debt without any remuneration attached to this level. So 9x was the historical level. This is the level at which we are comfortable. And so the idea is as we continue to deleverage, to get to this 9x level.
Jean-Marie Tritant: And as I said during the presentation, so this year, we have been pretty active on asset management and we'll continue to do so. So we don't exclude to do other type of -- other deals of the type of the one we did with CPP and URW Germany or the one that we did with Nuveen and MPG on Montgomery. So that's part of what we are constantly doing. So our teams are working and looking at all the opportunities that may arise and see how we can then, again, as we said in March 2022, being focused on maximizing the value of what we own and where we know that we can create value.
Operator: The next question is from Jonathan Kownator of Goldman Sachs.
Jonathan Kownator: Just to follow up on Paul's question. How much -- in post Hamburg, how much are you expecting to invest in terms of CapEx? And how much you've baked in your 2025 guidance, first of all? But how much do we -- do you think about pipeline investment going forward given that your committed pipeline is now about €500 million? That would be my first question, please.
Fabrice Mouchel: When you look at what we anticipate in terms of CapEx in 2025, this will be obviously impacted by the completion of Westfield Hamburg. We still have €400 million to be spent on this project. So all in all, the CapEx anticipated and that was used by the way, to compute this deleveraging trajectory, was around €1 billion in 2025, we have another €700 million or so, €600 million or €700 million the year after. And when you look at those CapEx, in fact, you have around €100 million, which is maintenance CapEx, €100 million which is connected to leasing that was the historical levels. And on top of that, you have around €300 million of CapEx, which is connected to enhancement projects, including development pipeline, but also improvement on standing assets.
Jonathan Kownator : Okay. And is that a sort of recurring level going forward? Are you planning to increase that?
Fabrice Mouchel: In fact, this is what we have done historically, in particular, through the different projects on which we have. And now the question will be to which extent we will be in a position to refuel our development pipeline. You see that we have added an additional 5 projects in 2025, which, by the way, are projects which are highly profitable with at least 7% targeted yield on cost. So we'll continue on a case-by-case basis. So there's no real target. But as part of our deleveraging program and as part of our overall vision of the balance sheet structure, the disciplined capital allocation is one key topic. And of course, this means that in terms of CapEx, we'll continue to be very strict on that front to ensure that we only go for projects that have a sufficient level of return for the group.
Jonathan Kownator : Perhaps another question. I mean, obviously, we saw [indiscernible] having strong other revenue growth beyond just The Street look, MGR or SBR. You've been highlighting, obviously, retail media as an opportunity. How -- do you see the growth that you have in these businesses as maintainable? I'm sure you will talk about that during your Investor Day. But how much should we expect in terms of growth from these areas? And are you having recent more successes in that respect?
Jean-Marie Tritant: So we -- yes, as you said, Jonathan, we'll share more with Anne-Sophie Sancerre around how we develop the retail media business and where we see it going. But we have not yet extracted 100% of the potential based on what we own and what we have already implemented. So we are very excited about the potential of the retail media and what we can extract in terms of additional revenues. I remind everyone that when we launched it, we are doing like €35 million or €37 million per year of net margin. We doubled that. And when you look at the revenue per visit that we do today, it's €0.10. So we went from €0.05 to €0.10. If I look at what others are doing, even the London Subway is doing like €0.15 to €0.20. So we should be able to continue to get this rising based on the data that we are able now to collect and extract and the algorithm that we have developed that would give us the ability somehow to be even better in the qualification of the agents, which will have even more value for the brands that wants to advertise their products. So we'll share that during the Investor Day, but we have a huge ambition for that business.
Operator: The next question is from Pierre-Emmanuel Clouard of Jefferies.
Pierre-Emmanuel Clouard: I have two questions. The first one on C&E. So I see that your services business on C&E is down double digit in 2024. So can we consider this activity as core? Or would you consider selling it? And maybe also if you can give us more color on why the services business has been that much down in H2, it would be useful. Is it purely due to the Olympics or not? The second one, coming back on your pipeline, just to fully understand. Should we consider that Westfield Croydon, NEO and Milano are completely canceled now? Or it will be more projects that should be delivered in the more medium-term period? And if you can also give us, let's say, the total cost already spent on the non-launched projects would be useful?
Jean-Marie Tritant: So just on Croydon and Milano and NEO, so it's as we said when we announced that we were buying out the 50% remaining of the project of Croydon, it's like for Milan. We look at these projects like, first and foremost, like land development. How do you unlock value from the land and then, through working on the master planning, the zoning and making sure that then you can extract from the land value and then see what would be the pieces of this land development that you would do yourself, with a partner or sell to someone else. So this is what the teams are working on for Croydon as well as for Milan and NEO. So we are still working on unlocking optionality or working on optionality and see where we will invest the money if and when and also for the right level of return. We have limited predevelopment CapEx. As we said in March 2022, we said that we'll spend less than €100 million in pre-dev on all these different projects, which includes some of the projects that we have now put into the control pipeline. So that's what we are doing. So I don't have the right -- yet the figure on top of my head for what has been already invested. But this is limited from '21 to '24.
Fabrice Mouchel: And so when it comes to your question of services, in fact, you need to make the split between 3 type of services. The first one is the services that are related to the C&E activity, and this one has grown significantly in the course of 2024 and in particular, connected to the activity, in particular, the Olympics and Paralympics. And in terms of balance between H1 and H2, I guess, it was quite balanced. The second type of activity is what we call DD&C. So it's development, design and construction, and this is mainly the activity that is exercised in the U.K. when it comes in particular to the development projects in the U.K., Coppermaker Square. And so the recognition of the revenues for this activity depend on the progress of the activity, the progress of the project and the works. And so on this one, there was, in fact, some delays in the delivery. So this project will be delivered in 2025. Hence, the fact that in 2024, in H1, you had some revenues and less in H2 or even limited revenues in H2. But we expect to have more revenues in 2025 as this project will be fully delivered. And the third type of activity is property and management services. So basically asset and property management services. So this one is overall stable, slightly down in 2024 as a result of, a, disposals and lower activity in Germany. There is one thing that is worth mentioning, by the way, which is when we sold a number of our assets, including through joint ventures, including in cases where we have a minority stake like the Trinity Tower or even in Aupark when we sold the full ownership of this asset, we'll continue to manage these assets and get some fees out of these activities. And so this will support the services to the tune of something like €5 million per year.
Pierre-Emmanuel Clouard: Okay. And is it still core on the C&E business?
Jean-Marie Tritant: The C&E business, I think we made the demonstration again that like what we have seen in our malls is like convention is back. We benefited from a strong 2024 year based on the Paris Olympic, which have been a real booster. We are still working on how we will improve going forward, the commercial tension and power of some locations that would be connected to the Parisian subway in the coming years and which would change the commercial, I would say, not tension, I should say, appeal of these assets for more public shows. And I'm talking here about Porte de Versailles and obviously Le Bourget that would be connected in '27, '28 to the Parisian subway network.
Operator: The next question is from Sam King of BNP Paribas.
Sam King: Two from me, please. The first is just on balance sheet structure where effectively, you're overhedged. Have you looked at any liability management such as buying back bonds that cost more than the rate you expect to receive on cash, to limit the impact on net financing costs? Or are you comfortable holding that level of liquidity to fund CapEx and potential acquisitions? That's the first one. And then the second one is just coming back to the credit rating and how you think about that in the context of the dividend payout. I appreciate the 3 pillars that you highlight, but is a credit rating upgrade, at least in terms of outlook, something that influences the Board's decision on potential distributions?
Fabrice Mouchel: So starting with your first question on the level of liquidity. So we have €5.3 billion of cash. And so the purpose of this cash is really to cover the funding needs that we have. And just as a quick reminder, we have €3 billion of debt maturing in 2025 and an additional €1.6 billion maturing in 2026. So this level of cash allows us to anticipate these funding needs to repay the debt. And by the way, this allows us to seize the right market windows when we decide to come back to the market. And as I've mentioned during the presentation, so we raised this €1.3 billion of bonds in 2024 at the best time of the year when it comes to the overall coupon that could be achieved. That was really very attractive with a 10-year below 4%. And so this is something that you can do to the extent that you have enough visibility when it comes to your liquidity need and that we are not forced to access the market at the wrong time. And by the way, when you look at the secondary level of our 10-year bond, it trades today at 20 basis points wider on the spread, which shows that effectively, we really picked the right window. Now when it comes to the use of this cash, of course, one natural idea is to do some liability management. And by the way, we've done and have done 4 or 5 of those liability management exercises in the past. Now, when it comes to this type of exercise, what you need to look at is not only the coupon, but also the maturity of the debt that you want to repay. And so this is also something that it has to be taken into account into the equation. But this is obviously something that we look at very closely. It was not so much needed in 2024 nor in 2023 in view of the high cash remuneration that we could receive at that time. So as this decreases, this is something that we may effectively consider, but on a very opportunistic basis, by the way, as we've done already in the past. That's on the liability management topic. Now, when it comes to the question of the rating agencies. I mean, the way we work is more we set what is, in our view, the right level of disposals in view of the quality of the assets, in view of what we want to say in view of the maturity of these assets. So that's one part when it comes to the disposals. And as Jean-Marie said, there are assets that are weaker assets that we may want to get rid of, sell. So when I say weaker, it doesn't mean that they are bad quality assets, but they are, on average in our portfolio, lower quality. And by the way, very often, these are the best assets of the buyers. So we'll continue to work on that basis based on the return that can be expected on these assets. And when it comes to the distribution, we effectively define this level of distribution that, in our view, makes sense in terms of overall balance sheet structure independently. And what we work on is to ensure that this has no negative impact on the rating. And this is why also we've said this €3.50 per share distribution in 2024 -- for 2024.
Operator: The last question is from Marc Mozzi of Bank of America.
Marc Mozzi: My question will be very simple is, why your dividend is that low on the basis of a 40% payout ratio, €5 billion of cash in hand, backlog of dividend, payment of €14 per share, your strong balance sheet position? What are we missing here in terms of your dividend policy?
Fabrice Mouchel: As we said, we still need to continue deleveraging the company. We have not -- we've done, as I said, a significant progress, again, reducing the debt net by €4.7 billion, reducing our LTV to 40 -- by 400 basis points. But we still have an IFRS LTV, including hybrid. And I think maybe the missing part is the hybrid part of it, which is at 44.7%. And here, our target is more to go back around 40%. As you've seen, by the way, in the trajectory that we are showing, we are in a position to get there after 2 years, assuming that there's some increase in value. So this is what we still need to continue achieving to ensure that effectively, we have the proper level of balance sheet. And so we will increase the distribution gradually, again, on the basis of this operating performance, the disposal that we complete and the revaluation that will support ultimately the level of the LTV of the company. Now, when it comes to maybe a second question which is, why do we distribute out of the premium and not out of the results? It's because the statutory retained result of the company is still negative at minus €1.9 billion. And therefore, we cannot distribute any result as it is negative. So that's why we still need to pay out of the premium, which represents €13.5 billion of distribution. And as you said, we still have €2.5 billion of backlog from CID distribution and this CID distribution will only be distributed to the extent that our retained statutory result becomes positive again. And so this means that we have €1.9 billion to absorb of losses before we are in a position to start paying this €2.6 billion of CID distribution. And as I said before, in fact, this will happen over time in view in particular of: a, the cash flow generated by the company; and b, the progress on the disposal; and three, on the revaluation of the assets, which will allow us to reverse part of the impairment in values that explain this loss of €1.9 billion to date in our books. And therefore, in that scenario, we'll be in a position to have a higher loan-to-value and therefore, to resume the CID distribution. Is it clear now?
Marc Mozzi: That's very clear. My second question was, are you intending to reinstate an interim dividend payment?
Fabrice Mouchel: In fact, when you face the situation of having to pay your distribution, and by the way, it's not a dividend, it's a distribution technically. And so when you have to pay your distribution out of the premium, to pay an interim distribution, this requires an EGM, an additional AGM. And so this is why, at this stage, it's not on the agenda to have this interim dividend or interim dividend because, in fact, we would require an additional AGM to decide upon that.
Operator: Gentlemen, there are no more questions registered at this time.
Jean-Marie Tritant : Okay. So then, thank you for attending the full year results presentation. And obviously, we'll see you during the different roadshows and conference that we participate in. And we expect you -- obviously, we are expecting you to come to Paris on the 14th of May to share more about our strategy and the plan going forward. Thank you.
Fabrice Mouchel: Thank you. Bye-bye.